Operator: And good day, and thank you for standing by. Welcome to the StealthGas Inc. Q4 2024 Results Conference Call and Webcast. At this time, all participants are in listen-only mode. There will be no question and answer session at the end. I would now like to turn the conference over to your first speaker, Mr. Michael Jolliffe, Chairman of the Board. Please go ahead.
Michael Jolliffe: Good morning, everyone, and welcome to our fourth quarter 2024 earnings conference call and webcast. I am Michael Jolliffe, Chairman of the Board of Directors. Joining me on our call today, as usual, are our Chief Executive Officer, Harry Vafias, to discuss the market and company outlook, and Konstantinos Sistovaris. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements which reflect current views with respect to future events and financial performance. So if you could all take a moment to read our disclaimer on slide two of this presentation. The risks are further disclosed in StealthGas filings with the Securities and Exchange Commission. So let's proceed with the presentation of our 2024 results and update you on the company's strategy and the market in general, starting with slide three for some highlights. Today, we released our results for the fourth quarter and full year of 2024. It was another very successful quarter in what can be described as a relatively stable market. Revenues came in at a solid $43.5 million, 27% higher than a year earlier. For the full twelve months of 2024, revenues came in at $167.3 million, the highest revenue figure in the company's history. To give you some historical perspective, the closest revenues we had to this year's figure was back in 2018 when revenues were close to $164 million. We were such a different company that this revenue figure back then had led us to barely make a profit on an adjusted basis. As today, with a much leaner structure, and following sound strategic policies, our revenues led to a record yearly profit of $77 million on an adjusted basis. I should also stress that this is not a one-time profit record. It is the third year in a row that we have been recording record profits, a testament to the consistency in our improving results. Now in terms of earnings per share, on an adjusted basis, these were $0.44 for the quarter, and $2.11 for the full year, and compare that to our stock price, which is still trading around $6. Our strategic priority for the time being remains focused on deleveraging and optimizing cash flow generation. The company proceeded to pay $108 million in 2024, bringing the debt below $100 million for the first time during the third quarter, and with another $33 million being repaid during the first quarter of this year, debt level is currently close to just $50 million. All the vessels in our fully owned fleet are debt-free except for just two vessels that currently have a mortgage. So, essentially, we are net debt-free. With regards to our share repurchase program, over the last two years, the company has spent close to $20 million buying back almost four million shares. We had toned down the repurchases in the last couple of quarters, so today, the board of directors decided to reserve additional funds and authorized management to invest up to $10.5 million for share repurchases. We are further delivering on our strategic priorities by keeping a visible revenue stream. Period coverage for 2025 is now up to 70% of our fleet days, and we have secured over $200 million in future revenues. In terms of our fleet, the strategy is to conservatively diversify and renew. We have no new announcements in this conference call on this front. The deals that affected our 2024 results we had previously discussed. These were the sale of two smaller LPGs and the delivery of two new building medium gas carriers. Those significantly boosted our 2024 results. In the last quarter of 2024, we also incorporated in our fully owned fleet one smaller gas carrier that was previously part of our joint ventures. Two more vessels were sold by the joint ventures during 2024, with one delivered this January. We are still looking for opportunities in the sale and purchase market. Let us move on to slide four for some details on our fully owned fleet employment as of February. It has been a fairly quiet period since our last call in November. Charters, particularly in Europe, seem to have covered their needs by taking more period charters in previous months. As a result, we only concluded three new charters, two for one-year duration, and one for three months. That currently leaves us with three vessels operating in the spot market, two of which are handy sizes. The company's chartering strategy is to fix on period charters when possible and when profitable. So we are looking to extend the duration of our charters. Overall, we have increased the visibility of our earnings to 70% of available days for 2025, and have secured about $107 million in revenues for the remainder of the year. Total revenues secured after 2027 were slightly reduced at $200 million. During the fourth quarter, we had a fair amount of dry dockings, with three vessels completing their scheduled dry dockings. That brought the total number of vessels for 2024 to seven vessels, a quarter of the fleet. This year, it is a fairly light year as we only have four vessels that are scheduled to go into dry dock. In terms of our fleet geography presented in slide five, for those unfamiliar, our company mainly focuses on regional trade and local redistribution of gas. So most of our vessels are not likely to travel large distances and often do voyages that may last as short as a couple of days from load port to destination, while the fewer larger vessels often engage in intercontinental voyages, for example, US Gulf to the continent. We continue to focus the majority of our fleet, over 60%, west of Suez in Europe, particularly in the northwest of the Mediterranean where freights continue to command a premium over Eastern Suez. The remaining of our fleet is evenly scattered across the globe. We believe that in the short term, we will continue to enjoy higher rates west of Suez as there continues to be a shortage of suitably well-maintained vessels in Europe. Since our last call, the Suez Canal situation seems to have improved with the Houthis temporarily refraining from attacking vessels. However, the overall political situation in the Middle East remains very volatile, and ship owners are still reluctant to commit as any sudden escalation could lead to renewed danger to the safe navigation of vessels. If things go back to normal, we could see a few more vessels moving from east to west to close this arbitrage. Overall, though, trading in European ports is much more demanding due to strictly enforced regulations related to the condition and safety of the vessels. As a result, older vessels that are actually a high percentage of the overall pressurized LPG fleet are not always suitable for European trades. Furthermore, the European Union imposed last year's regulations related to carbon emissions called EU-ETS that penalize less efficient vessels. Starting January of this year, is putting in place additional rules called FuelEU relating to fuel consumption. Finally, I would also like to note that over the past year, we have been increasingly engaged in ammonia trades that our Handys and MGC vessels can carry. We believe there is great potential in ammonia trading and judging from the increased vessel order book, so do many of our competitors. In slide six, I will update you on our joint venture investments. This is the interest we had as of December 31st in four vessels, three pressurized LPG carriers, and one medium gas carrier through two joint venture structures. These are presented separately as their results are not consolidated but are shown as an investment. The book value of our investments was $27.7 million, slightly reduced from the previous quarter, as the Gas Defiance exited the JV and entered our fully owned fleet. Since the beginning of last year, three vessels were sold. One MGC, the Echo Ethereal, in the second quarter for which we received a $24 million dividend. The Gas Defiance in the fourth quarter that was bought back from StealthGas debt-free, and more recently, the Gas Shuriken that was delivered to its new owners in January of this year and was also debt-free. There are now just three vessels left owned through joint ventures, one medium gas carrier built in 2023, and two smaller pressurized vessels. After having sold the Gas Service last month, our partners and we decided to use the proceeds from that sale. The vessel was debt-free, so prepay the debts on the two remaining pressurized vessels, the Gas Jarrahlambos and the Eco Liquidity. The debt prepayment is scheduled to take place within March. As far as chartering of these vessels go, the Gas Harrah Lambos recently entered a one-year charter at an exceptionally strong rate. The two other vessels are on short-term time charters. Lastly, during 2024, two of the vessels underwent their scheduled dry docking, one of these in the fourth quarter as discussed in the previous call. There are no forthcoming dry docks during 2025 for any of these vessels. I will now turn the call over to Konstantinos Sistovaris for our financial performance. Thank you.
Konstantinos Sistovaris: Thank you, Michael. Good morning, everyone. I will discuss the financial results that were released today. Let's turn to the next slide, slide seven, where we have a snapshot of the income statement for the fourth quarter and full year of 2024 against the same periods of 2023. Due to sale and purchase transactions that took place over the period, there was a very small increase in fleet days of 2% for the quarter and a larger reduction in fleet days of 7% when comparing the yearly period. Net revenues, that is the revenues after the voyage expenses, came in at $40.3 million for the quarter, an increase of 31%, and at $155.6 million for the twelve months, an increase of 19%, mainly the result of rechartering vessels at high rates throughout the past year, and also the addition of the two larger vessels in the fleet with a higher earnings capacity. In the fourth quarter, revenues were slightly impacted by the downtime due to the dry docking of three vessels. Operating expenses were $13.6 million for the quarter, a 6% increase mainly due to higher crew costs and maintenance fees, and $49.8 million for the twelve months, reduced by 6%. That corresponds to the reduction in the fleet over the twelve months. Overall, a good performance in containing expenses in 2024. We have seen rises as a result of cost pressures throughout the economy, but not above the general inflation levels. Again, this quarter's results were negatively impacted by the dry docking expenses of the three vessels. They had to undergo their statutory five-year special survey and dry dock. The cost of the dry dockings that involve also lost time and revenues as they can take up to thirty days are expensed as incurred, and not amortized. So there was a hit in the fourth quarter, especially when compared to last year when there were no vessels to be dry docked at the time. During the year, seven vessels, a quarter of the fleet, underwent dry dock compared to just three vessels in 2023. Since most of the vessels trade in Europe, these are mostly performed in more expensive European yards. In the third quarter, there was also an increase of $1.4 million in G&A costs as a result of the increase in stock-based compensation expense. That reflects the amortization of these awards over their vesting period. No awards were given in the fourth quarter. There were no impairments nor any gain or losses from the sale of vessels during the fourth quarter of this year, while interest cost decreased by almost $1 million as a result of the debt reduction. Income for the quarter was $14.2 million compared to $8.9 million for the same quarter of last year, a 60% increase. On an adjusted basis, net income also marked a 60% increase from $10.3 million to $16.4 million. For the full year, net income was $69.9 million compared to $51.9 million for last year, a 35% increase. On an adjusted basis, net income was $77.3 million, a 53% increase compared to last year. In terms of EBITDA on an adjusted basis, it was $23.4 million for the quarter and $108.8 million for the full year, the highest EBITDA number ever. Likewise, adjusted earnings per share for the fourth quarter were $0.44 compared to $0.29 last year and $0.38 in the third quarter. For the year, adjusted earnings per share were $2.11 compared to $1.34 last year. This was, as we said before, the best profit in the company's history. Looking at the balance sheet in the next slide, slide eight, the company continues to maintain strong liquidity after having massively brought down its debt over the course of last year. Cash, including restricted cash, was at the end of the quarter $84.5 million. The debt reduction allows the company going forward to accumulate cash at a much faster rate than before due to the reduced debt amortization. There were no vessels held for sale as of December 31st, as there were no contracts for any sales, and also there were no deposits for vessels as of December 31st. We have not contracted to buy any vessels. Vessels' book value increased from $504.3 million to $608 million, a significant 21% increase mainly as a result of the addition of the two medium gas carriers in January and the pressurized gas carrier the company acquired from its JV partner in the fourth quarter. The book value of the investments in the two joint ventures was $27.7 million, a $12 million reduction due to the sale of one medium gas carrier and the pressurized gas carrier and the subsequent return of capital. Total assets as of December 31st, 2024, increased 5% to $732.2 million compared to last year. Moving on to the liability side, the current portion of debt increased to $23.3 million because there is a $16.6 million balloon payment due within a year, and more precisely in December of 2025, while the long-term portion of the debt stood at $106.9 million as of December 31st, 2023, and was reduced to $61.6 million as of December 31st, 2024. As a result, the company had cash that almost equaled its debt as of December 31st. Shareholders' equity increased 14% or $77 million over the twelve-month period as a result of the improved profitability. Moving on to slide nine, looking at our leverage, for the past fifteen years, the company's debt has been oscillating in the range of $300 to $500 million. Since the beginning of 2023, that interest rates rose significantly, and thanks to the improving cash flow generation, the company embarked on a massive debt reduction, making significant savings in the process. In 2023, $154 million was repaid. In 2024, while the company took a $70 million loan for the two vessels, it made $108 million in repayments. Then in the first quarter of 2025, the current quarter, another $32 million was repaid. During the previous call, we said that it was the first time the company's debt fell below the $100 million mark. This time, with debt currently approaching $50 million, it is the first time the company is net debt-free. As a result, the debt amortization is now reduced to just $1 million per quarter compared to $7 million just two years ago, and that will allow significantly faster cash flow accumulation going forward. There are now only two mortgage vessels out of twenty-eight in the fleet, and that means much lower cash flow breakevens for our vessels, making them much more competitive. Finally, there is no refinancing risk. There is only one $16.6 million balloon at the end of 2025, and after that, the only remaining balloon of $17 million is in 2032. I will now hand you over to our CEO, Harry Vafias, who will discuss the market and the company outlook.
Harry Vafias: On slide ten, we have a brief insight on the LPG markets and some thoughts. Over the last three years, global LPG exports are on a steady upward path. After marking a 4.3% increase in 2023, the latest data show that there was a similar increase in 2024 at 4.4%. The world's largest LPG exporter, the US, finished the year marking an impressive 11% year-on-year growth. As we have said before, we expect a slowdown due to the capacity constraints, but we are already approaching the first flood capacity additions starting with the Energy Transfer Texas terminal that will export 250 additional barrels per day in the second half of 2025. Thereafter, once more expansion projects are completed by 2026, volumes should increase by another 20%. On the other hand of the equation, the two largest importers, China and India, preliminary figures for 2024 show that both increased their LPG imports by 11.5% and 6.6%, respectively. Imports in China were more volatile as demand is more industrially driven. So far, we have yet to see if the measures taken late last year by the Chinese authorities managed to pull the economy back on its targeted 5% growth track. Now, PDH plants that need LPG for propylene production continue being built. Three more are expected this year that should underpin long-term demand, but in the short term, we see volatility coming depending on their utilization rates, which is both a factor of the strength of the economy and overcapacity. So in terms of trade, the figures were excellent for LPG in 2024. Where the picture gets murkier is in terms of geopolitical amounts. That is not to say that they are positive or negative because in shipping more often than not, conflicts lead to improved rates, but rather to emphasize there are a lot more issues than before that could affect LPG depending on if one and how these are resolved. Let me briefly mention them. First, we have the sanction on Russian LPG exports by the EU. These were introduced last December. So far, they have led to more seaborne imports from Poland or Russian volumes being redirected further away. Second, we expect developments in the Russia-Ukraine conflict. Although any resolution will probably not lead to a significant change short term in European LPG imports as diversifying LPG sources is more of a longer-term European policy, especially since imports from the US have risen substantially. Third comes a potential tightening of Iranian sanctions that the new US administration has hinted at. Iran is a major oil producer but also produces LPG that it exports mainly to China. More restrictions on Iranian LPG, estimated at around 12 million tons per year, should be a positive for ton-mile demand. Fourth, we could see developments in the OPEC self-imposed oil production cuts. Import prices to be driven lower as the new US administration desires, a possible lifting of the production cut mainly by Saudi Arabia would lead to more oil being produced and thereby more LPG as well. Fifth, we have the Suez Canal reopening, at least for the time being, as the Houthis have pledged not to attack ships unless they are related to Israel. However, the Gaza conflict that led to the Houthis attacking ships has not been resolved, and it's quite a volatile situation. Crossing the Suez Canal is not a major route for our ships, but overall, the shortening of distances could have a negative impact on ton-mile demand. Lastly, and maybe most importantly, we have the looming US-China trade war. We have seen the opening salvos, and particularly, we have seen the Chinese response by imposing tariffs on various US goods including oil and LNG. Notably absent from these tariffs was LPG. In the previous spat back in 2019, the Chinese curtailed their imports of US LPG, and that had an impact on LPG shipping. Now, however, it seems that they are more cautious as the landscape has changed since then. Back then, their PDH capacity was 6.6 million tons per year. It has quadrupled since then. It's of vital importance to them. Now, they also rely for over 50% of their LPG imports on the US, and it won't be easy to diversify their sources. I won't dive more deeply into all these geopolitical issues, but I draw them up as thoughts that are in the back of our minds as they can affect LPG trade, some positively, others negatively. Be that as it may, we don't lose sleep over them. We know that our company is in the most solid state that it has ever been. I'm sure we'll be talking more about this in future earnings calls, and who knows? Maybe we'll have to add again the new Panama Canal dredge in the mix. On slide eleven, we're discussing how shipping markets fared in the last quarter. While generally, the fourth quarter consists of tighter market conditions, the picture was one of a relatively flat market. The small pressure vessels that comprise the majority of our fleet, the onset of winter led to an increase in activity and firming of the market, but since then, the market has been more stable. West of Suez, there was limited interest for period fixes as most charters have taken their positions, but there are also limited candidates. As a result, we continue to witness a firm pressurized market at historically high rates. There continues to be a divergence in the market between east and west. In the east, the spot market has been less interesting from an owner's perspective than the west. Very limited activity and relatively soft rates have given owners an incentive to look for TC coverage if they can find one. Period rates remain more or less flat. The market is expected to be fairly stable otherwise, as the overall availability of spot tonnage has reduced, with ships changing hands and some leaving the area and moving west. For the Handysize ships, the first quarter was all about the petchems, with spot LPG trading close to nonexistent for this size. Particularly, the ethylene market was active and also several vessels were fixed for butadiene cargos. The start of this year was rather quiet. However, at the time of writing, we are starting to see a bit more activity on the period side, with rates remaining relatively stable. The order book for the Handysize ships remains very slim, with no deliveries for this year, and this should logically support the period market. On the MGCs, the spot market continued through Q4 to suffer from pressure from a softer VLGC market and generally more difficult trading conditions, and narrow margins for LPG as a product. On the time charter side, we saw several charters redelivering their mid to long-term TC tonnage and rather betting on more available tonnage in the spot market when they are in need of a vessel. For now, owners are trying to keep the rate ideas firm, but we have seen certain softening in the last couple of months. The order book provides for a limited number of deliveries this year, which should support these rates. However, longer term, the order book situation for MGCs is worse than. Since our last call, the pace of ordering has slowed down, but accumulating from previous quarters, the order book ratio has now surpassed 50% of the existing fleet. Expectations are for the ammonia market to grow significantly in the coming years, not only because it would become one of the alternative fuels for ships, but if this does not materialize, vessels ordered at today's record prices and leveraged can lead to a lot of pain for those choosing to invest at this late stage in this segment. On the other hand, the order book situation is quite different on the overlooked Handysize fleet where there are no vessels delivering this year and the order book remains very healthy beyond that, as we continue to see very limited interest from owners in ordering new ships. As far as our core fleet of pressurized ships, the situation has not changed much. Very few vessels are being ordered, just one since our previous call, and that includes those destined for Chinese domestic trades, keeping the order book ratio at a very healthy level at below 5% for the next three years. At the same time, the pressurized fleet age profile shows that over 30% of the existing vessels are over 20 years old, meaning that the fleet is unlikely to be renewed fast enough and owners are keeping older vessels trading, sometimes even up to 30 years old, and still not scrapping them. We will probably need to see a massive drop in the market to force owners to scrap their ships, but even without scrapping, it's increasingly getting more difficult for older vessels to trade in international markets, especially in Europe given the safety environment and regulations. On slide twelve, we are outlining some key variables that may affect our performance in the quarters ahead. Summing up, it's with great pride that we announce today for the third consecutive year a record annual profit. After a successful first quarter, we concluded 2024 reporting net income of $70 million for the year, a 35% increase, far outpacing the underlying market improvement for our ships. We are delivering on our strategic priorities, modernizing the fleet, securing revenues, and derisking the business, aiming to bring strong value to our shareholders. We are net debt-free and close to completing our deleverage that will bring a long-term advantage to the fleet. The company is on solid footing, but we are always mindful that we operate in a volatile segment. We are optimistic yet cautious. There are a lot of geopolitical situations that we discussed today that are developing, and we believe to be a sound, still undervalued investment for anyone showing a thesis. Finally, after our excellent results announced today and in order to give further value back to our shareholders, we are renewing our share repurchase program and increasing up to $10.5 million the amount available to us for this task. We have now reached the end of our presentation. I would like to thank you for joining us on our conference call today and for your interest and trust in our company. We look forward to having you with us again on our next call for our Q1 results in May. Thank you very much.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.